Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation 2020 (sic) Q1 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded, May 7. I would now like to turn the conference over to Courtnee Chun, Chief Portfolio Officer. Please go ahead.
Courtnee Chun: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in Liberty Media's most recent Forms 10-K and 10-Q or Liberty Media acquisitions form S-1 registration statement filed with the SEC. These forward-looking statements speak only as of the date of this call and Liberty Media and Liberty Media acquisition expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media or Liberty Media Acquisition Corporations' expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial for Liberty Media and SiriusXM, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media and SiriusXM Schedules 1-3 can be found at the end of the earnings press release issued today, which is available on Liberty Media's website. Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thank you, Courtnee, and good morning to all of you out there. Today, speaking on the call besides myself, will have Formula One's President and CEO, Stefano Domenicali; and Liberty's Chief Principal Financial Officer, Brian Wendling. Beginning with Liberty SiriusXM, we continued our share repurchases, purchasing $114 million across LSXMA and LSXMK shares from February through April. The discount stubbornly remains, and we repurchased at a look-through price of - an series of just over $4 per share. We do expect to continue to take advantage of that stubborn discount opportunity. Our ownership of SiriusXM as of April 26 stood at 77.3%. And looking at SiriusXM itself, they are off to a fast start this year with self-pay sub growth of 83%. Trial starts in the first quarter were the highest in the company's history, and they recorded record low first quarter churn. We're also experiencing rapid growth in off-platform advertising revenue. 360L, the next-generation platform is now in 2 million vehicles, providing valuable data and offering engaging features. We expect it will be about 25% of this year's installs. We are now the largest digital ad platform in North America, reaching almost 2/3 of online audio listeners. We're also continuing at SiriusXM, our extension in the podcast segment with our acquisition of 99% invisible, furthering our content creation capabilities. Turning to Live Nation. You may have seen in today's earnings release from them, concerts are back and a high demand for dates in 2021. In fact, we have booked twice as many shows in '21 as we did in '19. Luke Bryan, the 2021 ACM Entertainer of the Year is going on tour and the Railbird Festival with headliner David Matthews Band is another notable addition. Following up on acquiring the majority stake in Veeps, we've begun our [indiscernible] platform and started equipping 60-plus contract venues to offer turnkey live streaming events. We continue to help artists expand revenue and creative opportunities, connecting them with more fans via Veep and other means. Looking at the Formula One Group, we've had phenomenal racing this season, as Stefano will outline a little bit more in a minute. It's exciting to see the battle between Lewis and Max. It's going to be a very competitive year also for third place and the constructor championships lots of exciting racing. The teams continue to execute well given the ongoing challenges from the pandemic. Turkey will replace Canada in June, showing the sustained demand to expand GPs. We've also extended our agreements with Canada and Japan. Looking forward to the first - we are looking forward to the first spread qualifying race in July at Silverstone and there'll be two more of those during the rest of the season. Drive to survive, our programming on Netflix, continued to grow in popularity in its third season, and it's also getting recognized on the award circuits, both in the U.S. and Canada. And finally, we look forward to seeing all of you in Miami in 2022. Turning to Braves. After a slow start to the season, our record is just under 500, and we are close third in the NL East. A game and half out of first place. We were helped by sweeping the Nets over the last three games. Braves are number-one in home runs this season and also number-one in average attendance almost 16,000 per game. That is if you exclude Texas, which we'd be third, including Texas. Ron Acuna was named National Player of the month for April. Pablo Sentiva had three pinch at home runs in April, the most by any Braves player in a calendar month for - in its franchise history. And as of today, we expect to expand capacity to 100% of fans after opening the season at 33%. Notably, in partnership with Emory Healthcare that Braves are offering vaccine shots before and during games against Philly. Fans who get vaccinated at those games will receive two free tickets to future Braves games as well. And finally, the Braves looking at the battery kits and crop is expected to occupy their office space in July and Papa John's later in the summer. Demand for remaining office space remains very strong. And the Aloft and Omni Hotels had high occupancy on Friday night and Saturday games or nights in March with several sellouts on game nights. We continue to make good progress on Almac to SPAC. The SPAC market has changed in the way we believe is to our benefit as some of the euphoria of January and February has deflated. We believe recent weakness in the pipe market plays well for Liberty, given our strong balance sheet, our capabilities with investors and the support that we have. Finally, we wanted to share with you that we have recently published our SASB disclosure on our website as a part of our ongoing ESG efforts. So with that, I'd like to turn it over to Brian discuss our financial results in a little more detail.
Brian Wendling: Thank you, Greg, and good morning, everyone. Liberty SiriusXM Group had attributed cash, restricted cash and liquid investments of approximately $1 billion, excluding $67 million of cash and restricted cash held at SiriusXM. This balance is prior to paying the Formula One Group, $384 million to settle the Live Nation call spread in April. The settlement of the Live Nation call spread was a nontaxable transaction among the tracking stock groups. We also have $1.1 billion of undrawn margin loan capacity at the parent level. Note that a portion of our cash will be used in 2021 to repay our 2.25% Live Nation exchangeable bonds. Based on the fair value of the bonds at quarter end, the amount of cash used would be $514 million. As of May 6, the value of the SiriusXM stock held by Liberty SiriusXM Group was nearly $19 billion, and the value of the Live Nation stock held was $5 billion. We have $3.2 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $13.2 billion, which includes $9 billion of debt held directly at SiriusXM. Formula One Group had attributed cash and liquid investments of $1.4 billion at quarter end. This excludes the $429 million of cash that's held directly at the F1 opco. Post quarter end, Formula One Group received the additional $384 million that we just discussed and proceeds related to the Live Nation call spread. Total Formula One Group attributed principal amount of debt was $3.6 billion, which include the $2.9 billion of debt held directly down at F1, leaving $724 million at the corporate level. And F1's $500 million revolver remains undrawn. Please note that during the three months ended March 31, '21, F1 began reclassifying certain components previously reported and other revenue into primary F1 revenue to better align with the way management currently evaluates the business. Components reclassified in the primary F1 revenue generally related to F1 TV subscriptions, certain F2 and F3-related fees, broadcast origination and support fees and digital advertising among others. Additional detail on this reclass, including the impact to the years ended 12/31/'19 and '20 can be found in Schedule 3 to our earnings release, which will be posted on website. At quarter end, the Braves Group had attributed cash, liquid investments and restricted cash of $218 million and attributed principal amount of debt of $676 million. Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter end. And with that, I'll turn it over to Stefano to discuss Formula One.
Stefano Domenicali: Thank you, Brian, and good morning also from my side. So 2021 has begun with huge energy and momentum. In the past few weeks, we announced our segment rate in the U.S. in Miami Gardens with a huge and positive reaction from our fans, the teams and all our partners. I think the second wave in the U.S. starting in 2022, provides a great opportunity for our sport and we'll ensure we continue to increase our strong progress and fund growth there. Last week, we announced that we will have Saturday 100-kilometer sprint qualifying formats, our three races in 2021, following unanimous support from all the teams. The events will be exciting for all our fans, provide more on track action over a race weekend, and give our partners and the team's greater commercial opportunities. Silverton, one of the venues for the new format already reported a surge in ticket sale following news that they would be hosting one of this event. We have announced the three years extension of the Japanese Grand Prix. This has always been an important race for Formula One, and we cannot wait for the fans to cheer on their own new pit [Sonoda]. We have extended our partnership with the Canadian Grand Prix by two years. And welcomed the new announced last week by Data Bell Media has entered into agreement to acquire the Montreal-based Canadian race promoter Octane Racing Group which is a great news for the long-term future and development of the race in Canada. While the global situation is still fluid due to COVID-19 pandemic, Formula One has shown it is has the ability to overcome the issue thrown us and continue to race safely. Just last week, we provided this to be the case. While we are not able to race in Canada this year, we have secured the replacement race in Turkey at short notice, meaning we have not reduced the number of races in the calendar for 2021. It is very exciting to see the level of interest from both the new and historic locations to host the Grand Prix, and this gives us a possible option if required for 2021, but also good opportunities for the future. We have had very good conversation with all our promoters. And all of whom expect the races this season to go ahead as planned. And just this week we have had the confirmation that 1,000 fans will attend here in Barcelona, the Spanish Grand Prix. And that molecule will work on approximately 40% of the capacity to the Grand Star for the race in two weeks' time. Alongside the busy start of the year off the track, the racing on the track has been equally exciting and dramatic. We kicked off our 23 racing season in Bahrain and have had three races to-date, which, with close battles, overtaking and the pack closer together than in the recent years. As Ron has mentioned, with this battle for the Championship playing out this could be a golden year for Formula One. This season operating in Bahrain did not disappoint with Verstappen security proposition. It was a trailing race between Max and Lewis that was only decided in the final laps. There were also strong showings by Norris and Perez and the Japanese Yuki Tsunoda scored points in his first F1 race for AlphaTauri. And it looks like, yes, a promising career ahead. The battle for first continuing to McLaren where Max had an amazing start of the line in the rain and carried through for the win. Impressive given his start in third, behind his new teammate, Sergio Perez, Lando Norris made up for a mistake in qualifying and secured a spot on the program, showing the continuous strength of McLaren. Last week and in Portugal, Mercedes standard offers turned challenge the Red Bull as Lewis Hamilton clinched heartfelt victory [indiscernible] with both the starting of Paul and Lewis ahead of the Max Verstappen second the start of the race showed the Red Bull get passed the Mercedes of Hamilton before seven time champions pulled it off brilliant overtakes on both his teammate both his members started to clinch victory. It once, again shows, that there is a real battle underway for this year title, and we are on the - only the three races in. The competition for the third is also fierce in the constructor standing. McLaren is making the early pace. But many teams in the midfield have something to prove. And it is great to see Ferrari hitting tried again. The spectrum of Formula One is resonated with fans and engagement is very high. To date, we have data for the first races across the 24 principal markets we monitor, and this showed TV viewership growth over both 2020 and 2019, with particular strength in Italy, the Netherlands, France, the U.K., the U.S. and Spain. On the digital front, unique users for F1 web and app have been up 77% on the equivalent rates in 2020 and social engagement and also increased with over 30 million interaction in both of the first 2 race suite. We continue to grow our social needs following reached 36.5 million after Emilio GP, up from 35 million for the prior year-end. F1 TV, our OTT product, has also started the second strongly with the record viewing. Big concurrent view at each race weekend at around 3 times higher than the 2020 season average. And engagement measured by the minutes viewed over the course of the weekend is up more than 60% on the last year. We launched an update version of the app for the season that provides many additional features, including high bidder quality and allows us to control the viewing experience. This new version also makes it easier to find content in other collection which includes over 2,000 hours of footage and coverage of Air Grand Prix in the last 50 years, along with our latest series, F2, Chasing the Dream. F1 TV is now available in 188 territories with the premium F1 TV available in 85.Season 3 of Drive to Survive, the boot of March 19 and continues to build mass global popularity for the sport reaching number 1 on Netflix in 27 different countries and also globally. And on all utmost daily basis, we hear an ad about how the show was brought into new non-typical plans. It was great to revisit the 2020 season and see the back story of the virality of many drivers changes. I do highly recommend Episode 9, which is a terrifying exhilarating and expiring. The show was nominated for a sport Emmy for outstanding series sport documentary and made the short list of the documentary category for the U.K. broadcast awards. Heading into the season, we have had numerous sponsorship announcement, we were pleased to renew our global partnership with the DHL, a relationship, which now spans across several decades. This extended partnership will include enhanced involvement in F1 e-sports sites and a present of F1 digital channels. As official partner, we work in June, let's say, as the mark as a Citi card provider and Ferrari train to the official toast of Formula One. In addition, we announced advisers [indiscernible] and as official supplier and welcome global citizen as charity partner for our We Race as One initiative. We continue to engage fans through e-sports and have the very successful series of visual Grand Prix during the off-season. Current drivers, along with home stars and future prospects competed to win a share of the $100,000 price fronting their charities. As part of the continued effort to improve diversity and inclusion in Formula One, as part of our We Race as One initiatives, we announced optimal only qualification route for the F1 e-sports series pro championship. This is our first female only competition, and we hope it will encourage more drivers from the passionate and the talented feminine rating community with the goal of becoming the first ever female driver to be signed by an official F1 e-sports series. In closing, Formula one is off to a strong start in 2021. Building off the foundation put in place the last few years. The ecosystem is absolutely strong, and the competition on the track is trading. I want to thank all the dedicated employees of Formula One for their continuous diligence and hard work, and I hope you will watch the Spanish Grand Prix this weekend. Now I'll turn the call back over to you, Greg. Thank you very much.
Greg Maffei: Thank you, Stefano, and thank you, Brian. To the listening audience, we appreciate your continued interest in Liberty Media. Hope you all stay healthy and safe. And with that, operator, we will open it up for questions.
Operator: [Operator Instructions] We will now take our first question from Jeff at Pivotal Research. Please go ahead. Your line is open.
Jeff Wlodarczak: I have one on SiriusXM and one on Formula One. Greg, at 77.3% ownership stake in SiriusXM, all else being equal, you're probably going to cross over to 80-plus in the third quarter, your dividends go tax-free. Just wanted to get your latest thoughts on whether SiriusXM is going to raise their dividend materially? Are you happy with the status quo and letting your buyback sort of continue to ride higher? And then on F1, just was wondering about the color on how the $145 million cost cap is going relative to your expectations?
Greg Maffei: Well, I'll take the SiriusXM, and then I'll let Stefano speak to the cost cap. On SiriusXM, look, we -- I think that your pace may be just slightly aggressive, Jeff. I think it might be, depends on the stock price and where SiriusXM buying, but it might be in Q4. But somewhere, where in one of those two quarters we're likely to pass 80%. Obviously, any dividend policies that are put aside and will be decided by the full Board there. But we have lots of alternatives in which we could either take advantage of those dividends to continue to go after the discount at Siri, at LSXM rather, Siri to increase the dividend or potentially sell into that buyback, hold ourselves above 80% and use the capital to buy back our own stock. So there are really multiple ways to get the same result, which is we are going after the discount. And whether it's -- through their dividend increasing or selling of the buyback, we will be attacking the discount. Stefano, let me turn it to you about the cost cap.
Stefano Domenicali: I mean, Jeff, as you know, cost cap has been one of the most important and significant things that Formula One introduced this year. This has had an effect not only because of the savings that the teams will make in the future, but also in the change of mentality that the major team has to apply with the organization to make sure that they can really be effective with a different line of expenditure. And this is just the first step into a new way of managing sport in Formula One. And I think that if -- if I say -- if I see what is happening around the world that everyone is focused just on the revenue side, I think the Formula One has just started the path with these on the other way around. Of course, revenue is crucial. But now we have just taken the first step into the cost cap. We're going to take all the cost cap in other areas that are not closed in this moment as we hedge for the future. But we are pretty sure that these are also the comments of the team. This has been a huge step in making sure that the Formula One is sustainable for its future.
Operator: We will now take our next question from Dan at Morgan Stanley. Please go ahead. Your line is open.
Unidentified Analyst: Greg, just on the cash balance at Liberty Formula One, I think it's $1.8 billion and all signs point to a strong year ahead. I'm just wondering, at what point does that become excess cash in the eyes of Liberty? And then Stefano, I have a couple of questions around drivers, which I'm wondering if you could humor me a bit. I have gotten questions from investors around the retirement of Lewis Hamilton and [Button]. What that might mean to the sport and sort of the business? I know they're coming back for next year at least. But as you think about that and sort of the outsized impact they have on the sport, how do you -- how would you see as we think about it if it matters and how you manage that? And then I was curious, moving to Miami, obviously, a huge opportunity in the whole U.S. market as well. Is an American driver important in F1 in terms of driving popularity here in the U.S.? And do you have any expectations that we might see one anytime soon?
Greg Maffei: So on the cash at Formula One, really at the holdco level, F1 level. I think a couple of things to note. First of all, we put that cash in place to ensure the health of the whole ecosystem, not only the Formula One business that we own, but really the teams and to ensure that we had liquidity, and we did use some of that liquidity for some teams during the pandemic. We still have uncertainty about exactly what our revenues will be in 2021. You've heard already, we've had to cancel, for example, Canada and input Turkey in. We are getting paid for that, but those are at way reduced levels compared to what we would get if we had full fans. So we have a fairly large contingency in our own budgeting for the potential that we will not get the kind of revenues that we hope. And therefore, that cash is useful. You may also know that we committed in the forward purchase agreement with Almac with SPAC that at least $250 million would go towards the pipe in any transaction if we were to complete one. So I think we're going to see potential for opportunities in that market that could be attractive to us as the SPAC market gets more turbulent, that plays to way, as I mentioned earlier, our strengths, and we may want to put some of the cash in that. But as the year progresses and we get more certainty about promoter revenue, we will look at what we do with that cash and how to utilize it and what is the most efficacious way to deliver value to our shareholders.
Stefano Domenicali: If I may now, Greg, to then to the question related to the drivers with regard to the Lewis Hamilton. Surely, Lewis Hamilton is a great asset. He is doing an incredible job on the sporting side and in terms of image, he was able to broad the Formula One in other areas that were not really specifically related to Formula One. But Formula One itself is strong, strong and -- drivers changes are always in a place where one day they may retire. I don't know what Lewis was doing. We are talking with him, but of course, now he's focused on his actual season. He's fully boosted to make sure that he'll be the only driver that is going to win the eight titles in the history of Formula 1. But Formula 1 is solid, robust. And for sure, whatever will be decision of Lewis, Formula 1 will react and we'll move forward. The good news is that it Lewis, as we all hope, will stay, will have an incredible season in front of him with the new cars, with the new challenge. And for sure, this will may be very interesting of him. If he will decide a different way around, I mean, the good news is that in Formula One, we have so many good drivers today, but at least the challenge will be even stronger. Therefore, of course, whatever will be the decision of Lewis, we will respect, but Formula 1 is really solid and strong. With regard to Miami with the American drivers, it is important, the answer for me is very clearly yes. We have -- we are working with teams try to understand what is really the possibility for American driver to come to the attention of Formula 1 team in the short term. This could come. I don't see that being very pragmatic and realistic coming in the next two, three years, but maybe after, yes. I know that our team is watching the good drivers, that if they'll ready will be a big boost for the American fans, because as we know, faces drivers, they put the enthusiasm passion that people want to see these guys. And therefore, the hope that we have is that very, very soon, we have American drivers competing again, so the others in the Formula One channel.
Operator: So we will now take our next question from Bryan from Deutsche Bank. Please go ahead.
Bryan Kraft: Would you be willing to size the onetime settlement impact on the first quarter Formula 1 revenue for us? And then separately, it's great to see Miami on the calendar next year. I know it's something you've been working on for three or four years. What can you tell us about your plans for the event, maybe contrasted to Austin? And how significant do you think it will be for growing the sport in the U.S.?And related to that, your broadcast contract with ESPN is up for renewal, I believe, after next season. So how are you thinking about the opportunity with ESPN given their focus on ESPN+ with now Miami in the calendar and also just the general progress you've made so far in growing in the U.S.
Greg Maffei: So I'll let Brian talk about onetime events in the first quarter revenue. And then I want to weigh a little on ESPN, and I'll let Stefano as well. But Brian start.
Brian Wendling: Yes. As it relates to the settlement, we can't comment on the specific details, but it did impact our results. But obviously, when you look at the year-over-year results, the fact that we had the one race versus zero last year and the proportion of revenue recognition was the material driver of that, but we can't comment on the specific settlement.
Greg Maffei: On the issue of the U.S. and ESPN, look, when we put that up among the various broadcasters and alternatives a little over a year ago, Chase, and it was in total agreement, had the belief that we were going to grow in popularity in the U.S. and our hand would be strengthened. So due to both now doing Miami and doing Drive to Survive and all the other things that we have going on from fan festivals to digital engagement, all of those are building our interest in the U.S. And as Stefano noted, in many groups that heretofore have not been interested. I have people coming up to me who are say I'm obsessed with Formula 1 because of the Drive to Survive who were not our typical audience, women, teenagers, many different kinds of audiences that are expanding, which is great. When we did that, we took a shorter deal with ESPN that had a broader set of exposure for us in terms of their eyeballs, but it was not the highest current deal we can get. And it was not the longest deal we could get. And in fact, it was the opposite. It was the least amount of money. The most amount of eyeballs and the shortest period of time because our belief was that we would have a much stronger hand as we went forward among the various bidders. I think that is a good bet. It's one that we are winning. And all the reasons we -- I outlined before, I think we will be much strengthened when we go to renew against that ESPN and other alternatives. Stefano, what might you add?
Stefano Domenicali: Yes, absolutely. Again, I think that the good news is that we are talking about another race in U.S. Miami with different culture, with different scenario, with different way that we're going to structure the shore of it. And incredible news that in just couple of weeks after our announcement, the attention with regard to this event is really massive. And the expectation of getting at the level that we want. And this is the reason why we are building a good series of communication, good series of program in terms of communication with the American community because we want to maximize everything out of it. And I cannot anticipate, for example, one thing that it would be fantastic. We're going to share with the state of Miami Gardens and with Miami Dolphins, the races in Monaco because they want to start leaving the atmosphere. And this will provide us the right platform in order to be ready, to make sure that the value that we're going to generate from U.S. will be even higher. And that's really the fundamental strategical thinking BI and the fact that we're going to have to raise in the United States.
Operator: So we will now take our next question from Vijay of Evercore. Please go ahead.
Vijay Jayant: I have a couple of questions on Formula One, primarily probably for Stefano. So when we see -- think about rate promotions this year, obviously, you have 23 races, but without fans and different proportions of fans. How should we think about that? Are you getting full promoter revenues? Are you splitting some of it based on fans? Or getting none and hosting the race? Any sort of thought, because that's sort of the segment that has the most variability? And then we've been seeing a lot more press releases coming out on sponsorship on Formula One with your new sponsorship head. Is there a resurgence on that? Or is this that sort of more like a formalized process of letting us know on what's going on because that seems to be probably one of the biggest growth drivers for the business long term. And finally, one for Greg. Maybe it's a little premature, but Formula One becomes an ATB in January next year. And you'll have Brave with an ATB. Any thoughts on what structurally you could do or would we like to do if you can share?
Stefano Domenicali: Thank you, Vijay. I mean the first question related to the fact that, of course, we have a situation that is evolving with regard to the attendances of the people on track. Greg has already mentioned, the things that we need to monitor race by race, case by case. Of course, the more we going ahead and the more it's likely that the opening up to the fans will not have a direct effect on the revenues. But we have also content that we cannot get into details where we don't expect that the attendance of the people has no influence on what would be the effect on our earnings. So this is really a mixed situation, but we need to evolve and manage it. I didn't get the question with regard to the sponsorship, Vijay, can you repeat that for me, please?
Vijay Jayant: Yes, Stefano, I mean there's been a lot of announcements, Zoom and bunch of other sponsors you've announced more recently. I'm just trying to understand, is there sort of a resurgence in sponsorship in Formula One more recently? Or is it sort of just better disclosure for us on -- 
Stefano Domenicali: No. It's just to show. Yes, it is just to show the fact that the interest to Formula One is getting back again at the level that we really believed is the right one. So the fact that despite the pandemic situation, there are big companies that are willing to engage and be our partner is a great sign of trust of what we are billing as the future. And we need to expect this approach even stronger in the future.
Greg Maffei: And as far as structural changes, we have no plan or intent today. Obviously, having a second ATB today, the only ATB we have at Liberty Media is the Braves. Having a second ATB gives us flexibility if we want to create other spins, but we have no plans today.
Operator: We will now take our next question from David at JPMorgan. Please go ahead.
David Karnovsky: On F1, we've seen Disney move to shut down it Star Sports channels in parts of Asia. Just kind of interested to know how this impacts you first directly as they believe to carry the series, but at a higher level, how you think this pivot to streaming will impact demand for sports content in some of those regions? And then maybe just separately, Stefano, as you noted, viewership seems to be a nice uptick through the races so far. Would be interested to get your thoughts on how much you attribute this to the Red Bull, Mercedes dynamic versus kind of the actions that you've taken off the track like Drive to Survive, the social media outreach?
Stefano Domenicali: Well, if I may start on the second, David, it's clear that a better show has better engagement and better entertainment for the people, there's no doubt. But I think is -- that is one element. The other element is the fact that we really are engaging with more people that loved Formula One. Therefore, the fact that we are able to attract other people through different way of languages that we're not used to use before, I think it's also helping the fact that the viewership and the engagement in any case. We're talking about not only the TV, we are talking about social media platform and other element of OTT is showing that there is a lot of attention, there's a lot of interest for sure. What is happening on the track is very, very important. There's no doubt about it. And this is for sure a good sign for us.
Greg Maffei: I would totally agree. But Stefano, why don't you comment on the rest of it and then I'll add, first part?
Stefano Domenicali: Sorry, Greg, the line went dead on my side.
Greg Maffei: David, you want to repeat your question, because I don't think we covered it.
David Karnovsky: Sure. Yes. Sure. The question was about Disney and their move to shut down Star Sports, I think, in parts of Asia, just wondering how that impacts you directly and then just your higher level thoughts on pivot to streaming and kind of what that means for demand?
Greg Maffei: So Stefano, why don't you start commenting, and then I'll give you -- I may have some views.
Stefano Domenicali: Yes, absolutely. I mean, David, we have, of course, as you know, agreement in place. So we are expecting for that to be totally enforced. So we don't see that as a problem. We see actually a big opportunity to the growth of the TV and the engagement figure in that part of the world to find other solution that we are working on, of course. But on this year financially, we don't expect anything that would happen.
Greg Maffei: So I think more broadly, if you think about it, more platforms is a positive for us. And yes, the -- some of the legacy platforms may decline or even be eliminated. But in general, we're seeing new platforms created, that's an opportunity. It's just the way that here in the United States, when satellite came eventually when Fios and other fiber alternatives came that created upwards pressure on content costs because of the bidding. I think we'll see the same opportunity in what we do worldwide at Formula One. As usual, we'll have a trade-off on exposure, which free TV offers against, in many cases, higher short-term rates for either over-the-top platforms or even more streaming platforms over -- excuse me, platforms like satellite or streaming. And we'll weigh our total dollars available against the exposure that we get for things like generally promoter value and advertising and sponsorship. So I'm not so worried about these sort of slower growth platforms being cut out by people like Disney. I'm much more excited about the opportunity from the digital platforms, particularly as they gain scale.
Operator: We will now take our next question from David Beckel at Berenberg. Please go ahead.
David Beckel: I've got two on F1. Just wanted to talk a little bit about the Sprint race format, maybe get a little bit of the thinking behind that. It obviously adds incremental value to your partners, but more specifically as it relates to future economics. Do you expect this to add to the value you receive from your partners? Or is it more a part of just adding value to existing agreements? And then secondarily, going back to the U.S. market and with the TV deal in play in a few years, I'm sure you paid attention to what WWE did with Peacock. I'm wondering if there's potential to sort of leverage the F1 TV over-the-top platform in a way that can sort of augment the broader value of your U.S. broadcast and overall TV distribution rights.
Stefano Domenicali: Thank you, David. I mean, with regard to the Sprint format, I think it will be beneficial to everyone. And if I have to answer straight away to the last part of the question, of course, we expect to have more value out of it. First of all, there is action that will be very, very positive in terms of effect to the organizer. Because from Friday to Saturday to Sunday there is something to talk about, a lot of action, a lot of intensity. That is something that, of course, this will have a direct effect on the people that will attend to the race. And this has been welcomed by all the organizer in a very positive way. On top of it, of course, that's something that we are offering to our media partners because we can create a new content. We can generate other form of entertainment in adding a new format that has been never deployed before. And also to the partners that have the chance to -- and the previous to be in the grid for two times also on Saturday, even if the Formula will be different, of course, because the center of the weekend will be the race on Sunday. But this is something that we believe that will have also an impact on the financial point of view on top of adding the excitement of what these rates is all about. With regard to the market, the TV deal and the leverage related to all our tools, I -- we believe that this will enable us to discuss in the future even a different way of integrating our TV OTT platform that is going very, very well, in the future. And therefore, that will allow us to benefit from the fact that the market will be interested in our sport and the commitment will be very, very big on our side to make sure that this will happen.
Greg Maffei: Yes. If I could add to what Stefano said on that, I think we certainly watch what WWE did with Peacock, and I think it's somewhat indicative with a longer-term trend. Very few sports, I believe, have enough content to run their own over-the-top service as their primary vehicle. There's just not enough content. If you look at WWE, they have tonnage certainly compared to us. And so F1 TV is a great asset for our connectivity with fans and for connectivity, in particular, with our most hardcore fans. But I don't believe it supplants our traditional broadcasters or other over-the-top broadcasters who are looking for a broader set of content and relationships. So I think we certainly watch that, and it's consistent with our view. And I do believe we'll see that kind of opportunity with larger digital platforms and F1 TV can be a part of the solution with them, as you know.
Operator: We will now take our next question from David Joyce at Barclays. Please go ahead.
David Joyce: Two topics. One is just another clarification on the promotion. When you say it was on time, does that mean it was just one promoter or are there any others lingering out there? And was it within the range of a typical promotion fee? And then secondly on sponsorship, how should we think about the range of sponsorship types of contracts? Like how many are based solely on particular races versus the proportion of revenue that is really allocated across the season? And are there any other types of sponsorship structures?
Greg Maffei: I can do the promoter piece. It was one race, and that's disclosed in our earnings release. As it relates to the typical range of promoter agreement, we have a wide range. So it falls within that range, yes.
Stefano Domenicali: So David, with regard to the sponsorship, the range, of course, depends on what is the package that we have. We have official partner, and we have other kind of relationship and all are related to really the race that they're going to have. And so we have different packages that are all consistent with the season with old and top championship and not related to the single event itself.
Operator: We will now take our next question from John at Gabelli. Please go ahead.
John Tinker: Switching gears, sports gambling is hot. Probably saw, I think, draft kings, slings and so on. What are the benefits you might see from your RSM with [Jim Claire or Bowley] as it is now. Is there anything that could actually help you?
Greg Maffei: John, I'll take a shot at that. I think that those benefits are going to be secondary, not primary. They'll have increased fan engagement. There may be -- Georgia is soon to open. It appears, gambling will become legal in the near term in Georgia, it's not today. But it has been on the ballot and it looks fairly favorably inclined in the next -- in the coming cycles. I think that will provide us some marginal revenue opportunities there, but I don't view it as a huge revenue line for us directly. I view it secondarily of the interest. And if we and baseball, MLB can capitalize on that more broadly, I think it just continues to draw the fans, not clear that -- no revenue line on the P&L directly.
John Tinker: And just as a second broader question on sports. You've probably seen some of the disruption in England, where the fans became engaged in -- 
Greg Maffei: Around the Super League you're saying?
John Tinker: Yes. Just generally, a fair amount of disruption there, a lot of talk of PE companies buying into Serie A, nothing happening. Is that an area where you might see some opportunities? Or is the fact that the soccer team can be relegated just makes it too risky.
Greg Maffei: No. John, we have looked at as many of those opportunities we can possibly find. We do think it's interesting. We can debate what's going on at each of the various leagues and where they stand in terms of their cycles on likely broadcast revenue and other kinds of opportunities. We do look to our experience both at Formula One and the Braves And what we'd like to think we have done positively with the league at Formula One and what we'd like to think we've done positively around things like Truist and the battery and think about how we can apply the skill sets that are inside Liberty at various opportunities. And we tried to sell that we have been a good and long-term strong owner, perhaps different than some of the other Americans have been perceived or how PE has been perceived. We haven't yet found the intersection of where somebody wants us and we want them, but we continue to look. And I do think that disruption over there does create opportunity. We have gone through -- we watch with Super League with interest because before we were involved with Formula One, there was certainly the talk of a breakaway at Formula One, which did not come to pass. And we feel very confident we understand breakaway very well, and I think we pretty much eliminated that opportunity or potential at Formula One as a side note.
Operator: So we will now take our final question for today's conference from Matthew at Benchmark. Please go ahead.
Unidentified Analyst: Even apart from Max Verstappen literally banging wheels with Lewis Hamilton, they seemed relatively course off track. You probably had the most competitive season since I think 2012, your Ferrari is coming back, McLaren, Lando Norris, et cetera. And I was just curious, you've got a broad suite of changes coming next year on -- to make the competition on the track more competitive. Does it give you any pause that you're making a lot of revisions next year even if this year seemingly is proceeding so strong right out of the gates? And do you have any ability to reassess any of this, or just continue to roll along?
Stefano Domenicali: Matthew, the changes has been already discussed. The teams are already working on new cars and new regulation. And the train has already left the station. So we are very pleased because we are convinced that this year is already a great season, but next year with the changes that has been planned will be another great opportunity to showcase what is Formula One in terms of the ability of always keeping the attention at the center. And therefore, there's no other things about checking everything in terms of all the states to make sure that the changes that will be massive, because next year will highlight the possibility to have a bigger fight, not only two or three drivers, but even more, and that's the objective.
Greg Maffei: Yes, if I could add just -- look, we're lucky this season is great. The work that was done in the concrete agreement by Chase, Ross Brawn and others, we hope to only increase the competitive next year. And we're very excited as Stefano noted about what's going on now and even more excited about what we can do in the coming years. I think with that, operator, we are done for the day. Thank you very much to all of you listening out there for your interest in Liberty, and we look forward to speaking with you again next quarter, if not sooner.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.